Operator: Good morning, and welcome to the Corporacion America Airports Fourth Quarter Fiscal Year 2020 Earnings Conference Call. A slide presentation accompanies today's webcast and is available in the Investors section of the Corporacion America Airports Investor Relations website at http:investors.corporacionamericaairports.com. As a reminder, all participants will be in listen-only mode. There will be opportunity to ask questions at the end of the presentation and as a reminder, this call is being recorded. At this time, I would like to turn the call over to Gimena Albanesi of Investor Relations. Please go ahead.
Gimena Albanesi: Thank you. Good morning, everyone, and thank you for joining us today. Speaking during today's call will be Martin Eurnekian, our Chief Executive Officer; also with us today are Raul Francos, our Chief Financial Officer; and Jorge Arruda, Head of Finance and M&A. All will be available for the Q&A session.
Martin Eurnekian: Thank you, Gimena. Hello, everyone, and welcome to today's call. I hope you and your loved ones remain safe. 2020 has undoubtedly been the most challenging year ever faced by the travel industry worldwide. I wish to thank our teams for their dedication and commitment to rapidly establishing and executing our strategic plan to protect the Company's financial position, all while continuing to ensure the highest health and safety standards for our passengers and employees. During the year, we made significant strides in new profiling and in strengthening our balance sheet while succeeding in making substantially favorable progress in extending or enhancing our concessions in Argentina and Brazil. Despite experiencing a 70% decline in passenger traffic in 2020, as a result of the severe impact of the pandemic on travel demand, our decisive actions focused on cost containment and economic compensations allowed us to achieve comparable adjusted EBITDA of $78 million in 2020 compared to $447 million posted in 2019, prior to the pandemic. This mainly excludes noncash impairment losses in Brazil in both years and the bad debt charge in Argentina in 2019. Fourth quarter comparable adjusted EBITDA was $43 million, nearly reversing the losses of $19 million and $33 million posted in the second and third quarters of last year, respectively. Note that the fourth quarter figures benefited from economic compensations of nearly $37 million in Brazil and $12 million in Italy, applicable for the full year. During 2020, we also successfully refinanced a significant part of our principal and interest payments in key countries, and we remain focused on making further progress on this front in Argentina.
Operator: Thank you. And we will now begin the question-and-answer session.  And our first question today will come from Ian Zaffino with Oppenheimer. Please go ahead.
Mark Zhang: This is Mark on for Ian. So I guess our question is on the $500 million CapEx spending with AA2000. Can you just give us a sense of what type of investments we can expect from the spend? I guess, just specifically with the $36 million over the next two years. Is that expansion or investment to add runways or terminals at certain airports? Or how should we think about that? Thanks.
Martin Eurnekian: Mark, this is Martin. Thank you for your question. The CapEx that we are expected to undertake in Argentina, the first one to the agreement with the government is still in phases of programming and decision-making. And although we have -- we will put a strong input into the program, the regulator is the one that finally decides where is the CapEx, but we will basically allow us to continue the required CapEx program to expand safety, runways, maintenance and terminals that was started previously in Argentina. So you should expect maintenance CapEx for runways, terminals and the continuing of many of the works that were done were started before the pandemic.
Mark Zhang: Okay. Got it. That's very helpful. And then just a follow-up. Given the volatility you guys are seeing in the first quarter, can you maybe just give a sense of what trends you're seeing in traffic activity for March? How does that trend compare sequentially with February? Thanks.
Martin Eurnekian: So we have different realities in our different countries of operations. Most of these realities are totally linked with the health conditions and the sanitary conditions and the number of cases and hospitalizations in each country regarding the COVID-19 crisis. So, as you saw before -- we had most of the recovery is linked to the easing or the strengthening of the restrictions put by different countries. So we do not have a unique trend. There has been a downward trend in Brazil due to cases. Europe is expected to have a better summer, because of the vaccination plan. The same as traffic towards the U.S., but we are seeing mixed results and they are totally linked with the restrictions put in place in each of the different countries of operation.
Operator:  And this will conclude the question-and-answer session. I'd like to turn the conference back over to Martin for any closing remarks.
Martin Eurnekian: Thank you. I'd like to thank everybody for joining us today. We really appreciate your interest in our company. We look forward to providing updates on our business initiatives as the recovery. In the meantime, the team remains available to answer any questions that you may have. Thank you, and bye-bye, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.